Operator: Welcome to Tremor International's First Quarter ended March 31, 2023 Conference Call. [Operator Instructions] This conference call is being recorded, and a replay of today's call will be made available on the Investor Relations section of Tremor's website. I will now hand it over to Billy Eckert, Vice President of Investor Relations, for introductions and the reading of the safe harbor statement. Please go ahead.
Billy Eckert: Thank you, operator. Good morning, everyone, and welcome to Tremor International's first quarter ended March 31, 2023 earnings call. With us on today's call are Ofer Druker, Tremor's Chief Executive Officer; and Sagi Niri, the company's Chief Financial Officer. This morning, we issued a press release, which you can access on our website at investor.tremorinternational.com. During today's conference call, we will make forward-looking statements. All statements other than statements of historical fact could be deemed as forward-looking. We've asked caution and reliance on forward-looking statements. These statements include, without limitations, statements and projections regarding our anticipated future financial performance, market opportunity, growth prospects, strategy and financial outlook, and forward-looking views on macroeconomic and industry conditions as well as any other statements concerning the expected development, performance, and market share or competitive performance relating to our products or services. All forward-looking statements are based on information available to us as of the date of this call. These statements involve known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from those implied by these forward-looking statements, including unexpected changes in our business or unexpected changes in macroeconomic or industry conditions. More detail information about these risk factors and additional risk factors are set forth in our filings with the U.S. Securities and Exchange Commission, including, but not limited to, those risks and uncertainties listed in the section entitled Risk Factors in our most recent annual report on Form 20-F. Tremor does not intend to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information, IFRS, and non-IFRS terms. We refer you to the company's press release for additional details, including definitions of non-IFRS items and reconciliations of IFRS to non-IFRS results. At this time, it is my pleasure to introduce Ofer Druker, CEO of Tremor International. Ofer, please go ahead.
Ofer Druker: Thank you, Billy, and welcome to everyone joining us today. I will begin by providing an overview on the progress of our key initiatives as well as on our results and strategy then we'll end the call over to our CFO, Sagi Niri, to discuss our financials. We will then open the call for questions. As a reminder, Q1 2023 results reflect the combined performance of Tremor International and Amobee, while Q1 2022 figures do not include results from Amobee. During the first quarter, with excellent progress executing on our strategic vision to combine Tremor International and Amobee to create a horizontally integrative CTV and video focused ad tech platform, fueled by unique and exclusive data that offers a unified comprehensive solution for advertisers and agencies as well as publishers and broadcasters. We believe once the integration is completed, our platform will feature some of the most robust, effective, and differentiated capabilities for both sides of the ecosystem. As you may recall, shortly after closing the acquisition, we quickly executed an initial efficiency plan over Q3 and Q4 2022 to consolidate our team into one, achieving roughly $60 million total in annualized operating cost savings. In Q1, after evaluating both the Tremor Video and Amobee DSPs, we made a strategic decision to move travel video CTV and video algorithms and capabilities to the Amobee DSP, given its stronger enterprise self-service capabilities and will sunset Tremor Video DSP. We also successfully moved the majority of the managed business over to the Amobee DSP during Q1, giving us enhanced confidence that our plan to largely conclude the technology integration of Amobee by the end of H1 2023 remains on track. We continue to expect total annualized operating cost synergies of approximately $65 million related to the integration, including the previous $50 million we achieved, and we'll continue to seek additional savings opportunities to drive further efficiency. In Q1, we also invested significant and necessary resources and management efforts, making the material progress on the combination, integration, and enhancement of our combined sales team. Along those lines, we successfully unified our sales processes and sales platforms Q1 and providing advanced training to our company team, which we believe better prepares the company for its next phase of growth and its accelerated CTV market share gains. As we mentioned in our call, combining the sales team and processes took longer than initially anticipated. However, we now feel confident in our positioning with customers and prospects following this investment. Amobee customers have recently begun demonstrating increased interest in the company's CTV and video solutions and are increasingly leveraging Unruly for inventory to realize the data and cost advantages of transacting end-to-end. We have also recognized some notable recent improvements in the advertising environment since early Q1 and anticipate continued momentum in advertising demand for the remainder of 2023, particularly in the second half. We feel that we successfully achieved much of the integration heavy lifting mainly over Q4 and Q1, which required significant management team focus. Now with the sales team and processes unified and the advertising markets showing signals of ongoing recovery, we're encouraged by the early signs of momentum. We also believe the advanced tech platform we have created through the acquisition and integration as well as our recent investment in innovation strongly prepare us to take a leadership position in the new era of CTV. We believe the CTV advertising ecosystem is poised for a massive boost and accelerated growth and linear TV advertisers increasingly seek to significantly expand their reach into the streaming ecosystem to reach engaged and expanding audiences. We feel from both technology and operational perspective that we are well situated to work with these advertisers and that our recently released cross-planning tool can enable better incremental reach then most current practices and offering available in the market. Our progress achieving our technology strategy was recently further underpinned by the launch of our first-to-market cross-platform planning solution, which we are incredibly excited about, as it is a solution the industry has been seeking for years. The technology enables linear advertisers to expand into streaming and CTV reduced deduplication that, of course, when presenting us across platforms and further enhance our CTV growth opportunity. This capability strongly positioned the company as advertisers and agencies fix solutions that enable them to optimize returns on ad spend and more effectively and efficiently plan and deploy spend across linear TV and CTV to reach desirous incremental audiences. We believe our ability to now offer customers linear planning and cross planning capabilities significantly expands our total addressable market. According to eMarketer, advertisers in the next few years will spend nearly $100 billion annually, advertising in the U.S. or linear TV and CTV. With our new solutions, we feel that we are optimally positioned to capitalize on this enlarged opportunity as we will be able to help customers better navigate the continued expansion of combined linear TV and CTV advertising with solutions equipped to assist them as two platforms converge. Many major broadcasters and agencies are involved in extensive testing of this product, and we are encouraged by early signs that these tools can drive larger deals, increase product adoption, and higher levels of CTV-related activity on our platform. While we are encouraged that the integration of Amobee technology and sales team will help accelerate our future CTV growth, which we have already seen evidence of so far in Q2, we are also pleased to have achieved strong CTV growth during Q1 ahead of this initiative during the fourth. CTV, one of our primary focuses as a business delivered strong performance during Q1 2023 as we were able to generate CTV revenues of $21.3 million, reflecting year-over-year growth of 34%. Our continued growth and market share gains within CTV are a byproduct of the intentional strategic investment we have made to enhance our product capabilities over the past several years for the benefit of our customers and partners. We continue to feel very strongly that we are well positioned for leadership within the industry, particularly to achieve further growth and share gains within CTV for several reasons. We believe advertisers will continue flowing to CTV and increasingly leverage programmatic solutions and meets expectation for continued growth in the ad-supported content, particularly as broadcasters and advertisers further expand into CTV. This represents trends that we are heavily indexed to and have been increasing our footprint in. For example, CTV revenue reflects 34% of our programming revenue in Q1 2023 versus 27% in Q1 2022. While programmatic revenue reflects 87% of revenue during Q1 2023 compared to 73% in Q1 2022. Additionally, we continue to believe that carriers will increasingly partner with horizontal end-to-end platform because of their proven ability to better optimize supply paths and provide strong cost and data advantages for customers. As the lines between DSPs and SSPs continue to blur, we feel that we have strong comparative operational advantage versus peers moving towards end-to-end that have operated as one-sided businesses for February. We have deeply rooted and rapidly expanding relationships on both sides of the ecosystem and also believe, we have tech advantages as our scaled platform has operated horizontally for several years. We also believe the added capabilities and larger market opportunities gained through Amobee, toppled with the expected benefit from our VIDAA investment will further enhance our CTV growth opportunity.  In the first quarter, we generated contribution ex-TAC of $66.9 million, reflecting a decrease of 6% year-over-year, while contribution expect decline in Q1, programmatic revenues was $62.5 million in Q1, which reflects 6% year-over-year growth, serving as a strong underlying indicator for our progress. As expected, Q1 was challenging as advertisers, particularly early in the quarter, reduced spending and meets continued market pressures. January was a very weak month for advertising. While February and early March were slightly better, in late March showed signs of improvement. I'm pleased to report that we have observed significant growth in advertiser activity on our platform to this point in Q2 compared to Q1, and as a result, except sequential quarterly and year-to-year growth in contribution ex-TAC and CTV revenue during Q2. we believe this growth will be driven by improved advertising conditions. Our recent sales force enhancement, greater anticipated level of CTV-related cross-selling, and increased interest in our combined platform suite of technology planning and data solutions. As a result of the historically weak contribution ex-TAC generated during Q1, we generated an adjusted EBITDA of $8.9 million, resulting in an adjusted EBITDA margin of 12% as a percentage of revenue and 13% as a percentage of contribution ex-TAC. As Sagi will touch on later, our end-to-end infrastructure enable [indiscernible] of operating leverage. So, when the advertising environment is weak, shocks to our contribution ex-TAC can have outsized impact on our profitability. While these margins were historically weak for us, our ability to achieve some degree of profitability amid challenging market condition in Q1, highlighted the efficiencies, durability, and resiliency of our model and a core reason we intentionally choose to operate horizontically. With that said, we are cautiously optimistic we will achieve significant sequential quarterly growth in profitability and adjusted EBITDA margin expanding during Q2 2023 compared to Q1 2023 amidst the expectation of higher contribution ex-TACs. We are importantly continued to expand our relationship in CTV. While our partners at VIDAA and Hisense further increased their scale, offering and reach. For example, we recently announced a partnership with TCL FFALCON. The partnership grants advertising, leveraging Amobee direct access to TCL FFALCON innovative ad units on premium CTV inventory in the TCL channel through Unruly, providing the opportunity to deliver impactful and relevant heads to audiences across the U.S., Europe and APAC. In addition, as VIDAA, a CTV operating system and streaming platform in which we invested $25 million continue to grow it's distribution, our global exclusive ACR data agreement enabled by our investment is expected to increasingly benefit from. Later this year, we expect VIDAA's reach to grow to a significant enough level of smart TVs in the market that we'll be able to generate revenues from advertisers seeking to leverage this critical and fastening global ACR data set for CTV targeting and measurement. This, coupled with our ad monetization exclusivity in the U.S., U.K., Canada, and Australia on VIDAA media give us optimism for strong future CTV-related revenues opportunities as VIDAA continued to onboard more ad-supported content and as its offerings such as VIDAA story continue to scale. [indiscernible], Hisense which ranked number 2 globally for TV shipments in 2022, also announced it will make NBA League Pass accessible on Hisense TVs in North America, beginning with 2023, 2024 season. Sports-related CTV advertising opportunities are amongst the most desired by advertisers, given significant and consistent fund viewership. Through our relationship with VIDAA and Hisense, we anticipate potential additional revenue opportunities related to this development as well as future CTV-related sport advertising opportunities. In Q1, we completed our $20 million ordinary share repurchase program, repurchasing approximately 2.5 million ordinary shares. -- which reflected an investment of £7.3 million or $8.8 million. From March 1, 2022 through March 31, 2023, between our two completed programs, we repaid roughly 19.4 million ordinary shares or approximately 13% of shares outstanding, reflecting a total investment of approximately £77.3 million or $95 million. We will continue to evaluate initiating a new repurchase program to sales remains a discounted valuation as well as other capital allocation strategies. During Q1, the company added 45 new actively spending first-time advertiser customers across travel, real estate, and financial services vertical as well as others. And we added 62 new supply partners, including 49 in the U.S. during Q1 and Media and award-winning media agency also calendaring as a preferred. Finally, as a key milestone in our progress combining and integrating Amobee and Tremors companies and platform, we will announce our new unified in name by the end of this quarter. When we rebrand, we will consolidate all of our brands under one name as we believe this will enhance our commercial focus and better on way the value proportion of our unified sales team platform. With that, it's my pleasure to turn the call over to Sagi.
Sagi Niri : Thank you, Ofer. Today, I will review highlights and key financial and operational drivers of our Q1 2023 performance, and we'll also discuss our forward-looking guidance. As a reminder, Q1 results reflect the combined performance of Amobee Tremor International while Q1 2022 results do not include results from Amobee. For the three months ended March 31, 2023, we generated a contribution ex-TAC of $66.9 million compared to $71 million in Q1 2022. Alongside, Q1 adjusted EBITDA of $8.9 million compared to $38.7 million in Q1 2022. As a result, we generated an adjusted margin of 12% on a revenue basis and 13% on a contribution ex-TAC basis, during Q1 2023, which compared to an adjusted EBITDA margin of 48% on a revenue basis and 54% on a contribution ex-TAC basis during Q1 2023.  We observed significant weakness in the advertising environment during Q1 with the most severe weakness occurring in January and February. This weakness was driven by well-known challenging market conditions that drove uncertainty in advertising demand, with particular softness observed in the food business, personal finance and entertainment vertical, and performance-related activities as expected as well as in mobile advertising. However, since early March, advertisers have been more active on our platform, particularly in CPG, and we've seen encouraging signs of stability, better visibility, and momentum as April was stronger than March and as May have been stronger than April. We are also cautiously optimistic that momentum will continue into the second half of 2023 based on our current visibility. During the first quarter, adjusted EBITDA and adjusted EBITDA margin were significantly lower than the historical level, which was driven by the weak environment early in the quarter, our ongoing integration of Amobee, and the nature of our end-to-end infrastructure. Once we nearly complete the integration of Amobee by the end of Q2, we expect to realize positive effects on our sales organization, cost structure, and profitability compared to Q1 and believe we will save on taxes by consolidating the two DSPs into one enhanced class. Additionally, our enhanced horizontal infrastructure will enable a high degree of operating leverage. However, during times of constraint, advertising budget, and lower overall spending on advertising, maintaining a high fixed cost infrastructure, like we encountered in Q1 can result in significantly lower profitability. With that said, the great benefit of operating a business with strong operating leverage, particularly on that is very liquid and cash generated, such as ours -- is that when advertisers are more actively leveraging the platform and the company is generating higher levels of revenue, most of that added revenue flows through to profitability, enabling us to quickly grow profitability, expand margins and generate robust cash flow.  As I mentioned, we have cautious optimism for Q2 based on the higher level of advertiser activity we've seen across our platform to this point in the quarter, and believe we will be able to generate increased adjusted EBITDA and expand adjusted EBITDA margin in Q2 2023 compared to Q1 2023. Despite the weakness in contribution ex-TAC, during the first quarter, we generated record Q1 programmatic revenue of $62.5 million, which reflected 6% year-over-year growth from $59.1 million generated in Q1 2022. Programmatic revenue as a percentage of revenue increased to 87% in Q1 2023 compared to 73% in Q1 2022. These results were boosted by our ongoing focus on programmatic activities as well as by the expanded programmatic footprint we gained through Amobee. We believe our increased programmatic footprint will be ongoing norm as we continue to expect to experience growth in programmatic revenue and declines in revenue associated with our performance business for the remainder of 2023. CTV, as Ofer mentioned, continued to be a bright spot as we gain fair market share and achieved strong year-over-year growth. In Q1 2023, we generated CTV revenue of $21.3 million, reflecting a Q1 record and 34% growth compared to $15.8 million in Q1 2022. Video revenue continued to account for a majority of our Q1 2023 programmatic revenue at 75%, which was down from 93% in Q1 2022. This reduction is a byproduct of the ongoing integration of Amobee. When we acquired Amobee, we didn't have as large of a footprint in video and CTV at Tremor Internationally. However, we're encouraged by initial signs of our ability to cross-sell our Amobee customers to leverage our robust CTV and video capabilities, including positive signals that several Amobee customers have begun to leverage and roll it for inventory due to the end-to-end platform benefits as opposed to other SSPs. We expect video revenue will increase as a percentage of programmatic revenue beginning later in 2023. Once we complete the integration of Amobee and as the company sales team continue to execute on cross-selling its video capabilities to Amobee customers and attract new customers. Our robust suite of CTV and video solution, differentiated offerings, and strong partnerships, coupled with streaming services, continuing to launch new ad-supported tiers and advertisers increasingly seeking programmatic solution, particularly within CTV give us high confidence in our future growth prospects.  We also anticipate continued improvement in the advertising environment during this half of this year. While having added scale as a company, more customers with strong cross-selling opportunities, a significantly expanded addressable market, and the ability to service customers holistically and across their entire workflow. Turning to our cash flow. We used $7.9 million in net cash from operating activities during Q1 2023 after generating net cash from operating activities of $16.1 million during Q1 2020. This reduction was largely a byproduct of the weak advertising demand environment earlier in Q1. During the first quarter, we also incurred approximately $5.1 million in one-time severance and retention bonus-related costs associated with the reorganization of Amobee employees into the Tremor International base as the company continues to focus on efficiency and optimizing its combined cost structure. As of March 31, we had $89.1 million net cash as well as $80 million undrawn on our revolving credit fee, providing comfortable liquidity for the ongoing needs of the business. We also generated a non-IFRS diluted loss per ordinary share of $0.03 for Q1 2023 versus non-IFRS diluted earnings per ordinary share of $0.17 in Q1 2022.  Finally, I will now turn to our outlook. We continue to expect challenging market conditions to weigh on advertising budget for the near future, at least through the end of H1 2023, but anticipate improved results throughout the remainder of 2023 compared to 2022 and the early part of 2023. Thus, far in Q2 2023, Tremor has experienced stronger advertising demand compared to late 2022 and early 2023.  We are cautiously optimistic that the higher level of advertiser activity was observed on our platform so far in Q2 will result in sequential quarterly and year-over-year growth in contribution ex-TAC and CTV revenue as well as sequential quarterly growth in adjusted EBITDA and adjusted EBITDA margin expansion in Q2 versus Q1. Based on current visibility, we expect contribution ex-TAC, CTV revenue, adjusted EBITDA and adjusted EBITDA margin will experience both sequential and year-over-year increase from H1 2023 to H2 2023 as well as from H2 2022 to H2 2023. Additionally, we also believe we will experience significant updates in sequential quarterly growth in Q4 2023 versus Q3 2023, as well as a significant year-over-year growth in Q4 2023 versus Q4 2022 in contribution ex-TAC, CTV revenue, and adjusted EBITDA as well as adjusted EBITDA margin expansion over those two periods. While we acknowledge the challenging market conditions may persist and weigh on advertisers, willingness to spend over the near term, we are confident that we can continue to drive growth and expand profitability for the remainder of 2023 due to several factors. First, we believe that our sales team has made important and necessary changes to unify the team and consolidated processes to focus on driving larger enterprise deals and an increased number of end-to-end platform customers. We also anticipate that the integration of Amobee will essentially be completed by the end of Q2 and that our investment in VIDAA will begin generating revenue later this year. These accomplishments when combined with the expectation for enhanced visibility, increased stability an improvement in the advertising demand environment during the second half of 2023 are expected to bode well for Tremor and its shareholders. As such, we are pleased to reiterate our previous guidance for full-year 2023, contribution ex-TAC of approximately $400 million and full-year 2023 adjusted EBITDA of $140 million to $145 million. Additionally, for full-year 2023, we expect programmatic revenue to reflect approximately 90% of full-year 2023 revenue. With my remarks completed, I'll turn the call back to Ofer.
Ofer Druker: Thank you, Sagi. While 2023 has not been without challenges, it has been an exciting year for us so far, and we are pleased to have continued growing our CTV market share during Q1 while positioning ourselves for continued expansion within CTV for the remainder of the year and beyond. We are also treated to see early signs of advertisers, increasingly expanding again and have cautious optimism, this momentum will continue during the back half of 2023. The investments we made to enhance our CTV capabilities and sales organization, we believe have already begun paying off since the end of Q1. We also believe our cross-platform plane is a game-changing technology that will continue to gain further tractions with major broadcasters and agencies. Having this unique ability to plan linear and growth platform campaigns, put us at a center of a major conversion in the U.S. TV advertising market. We believe we are now better able to capitalize on these conversions with enhanced scale and depreciated planning capabilities that benefit our customers.  We also believe that operating horizontal platform put us at the center of the high and sales side of the ecosystem with a significant data that provide advantages for customers with data-driven solutions that optimize returns on ad spending and help them reach desired audiences. As we finalize the integration of Amobee, we are also excited to launch our new unified brand. And for VIDAA and Hisense to continue growing their footprint and distribution all at a time when the advertising market is building renewed momentum. This combination of factors gives us optimism. We are well positioned to become leaders in the new era of CTV and continue growing CTV market share, accelerating contribution exit growth, and achieving strong profitability for the remainder of 2023. I want to thank our shareholders for their continued support and our employees for their hard work. I look forward to continue working together to realize the company's growth prospects. Operator, we will now take questions.
Operator: [Operator Instructions]. And your first question comes from the line of Matt Swanson from RBC Capital Markets. Your line is open.
Matt Swanson: Yes. Thanks, guys. So, congratulations, I guess, first on the integration of Amobee. Could you maybe touch on left to do from an integration standpoint in Q2 and maybe what the cost associated with it are roughly on a completion percentage. And then it was also really good to hear the initial kind of cross-sell success of seeing Amobee customers start to move more towards video. Could you just maybe elaborate a little too on what gives you the confidence that, that continues in the second half of the year?
Sagi Niri: Sure. I would take this one. So, from the integration perspective, we basically, as we said, we choose already to use the Amobee DSP because of his depth of details around enterprise solutions, which is a very important of course, for our future. And what we've done in TRMR, we basically moved a lot the algorithm or all the algorithms that were involved in our DSP and all the capabilities that were related to CTV and video from our DSP to the Amobee DSP in order to sunset the Tremor DSP in order to have 1 DSP that is very powerful and basically enjoy from all the capabilities around CTV and video but also enjoy from all capabilities around the enterprise solution that Amobee worked so hard in order to build over so many years.  So now we believe that we have a very strong and capable omnichannel of DSP that we are able to use, which is also, of course, enterprise solution. What is left until the end of the quarter as we said in the PR and in our message, we basically moved already most of our managed activity. And now we are well in the activity of moving the rest of the activity, which is basically the third-party clients that are using our DSP to the new DSP, and then by the end of this quarter, and then we'll be able to sense basically the rem Apart from that, this is the massive lift off that we did over the last few months. The next thing is also to integrate our Amobee’s that will happen until the end of the year, but this is a minor compared to the DSP that we already integrated. The second point that you asked us about basically the cross platform. So, I think it's a great question, and I'll expand properly here around that. So basically, what we believe that is happening in the market right now is that more and more advertisers that are basically used to buy or buying linear TV, they have also the now to expand and to reach also customers or potential customers in the linear, in the streaming and city area. And this is a growing force from data that we see the percentage of the reach from CTV and streaming is growing compared to linear. So, people are really open to do that. In the past, -- and we -- for many, many years, people were talking about the extension of linear advertisers into CTV into and streaming basically. But I think that now the time is right. After a few years where customers basically move their habits in order to use and to consume content on CTV and shrink [ph]. The second thing is there is a lot of content now that is available on streaming and CTV. And the last point is also the technology that enables them to do that now. So what we are basically offering them is the ability to plan their linear TV spending, but also to make sure through our technology of cross platform that if they are buying or they are interested in buying, also streaming and CTV, which most likely they will like to do, they can do only with incremental usage and not avoid duplication, which is very meaningful, of course, because as we know, people don't want to pay twice for the same user. So basically, they have the ability to reduce the deduplication and run great incremental users on the streaming and the CTV. And we see already reaction for big broadcasters, brands, and agencies that are interested in testing and an already advanced testing mode of this technology with good success, and we believe that this is the future, which will enable us to enjoy because where we will be able to offer them is just to provide this tool but also to provide the user extension management on our basically SSP, which includes a lot of the reach of CTV. And as we can see, CTV is already growing very rapidly on our platforms.
Matt Swanson: Yes. That was a great answer. Super helpful. One other thing you mentioned, and obviously, we're all kind of seeing -- well, not full stack, there's certainly more momentum towards companies. Like I think you kind of used the word the gray area between the DSP and the SSP is blurring with people creating more end-to-end solutions. And does this market momentum, do you think that makes it easier for you to explain your value proposition to new customers just with it being a little bit more prevalent across the ad tech space?
Ofer Druker : Of course. So, we are -- we started this process already in 2019. We believe that to have an end-to-end solution, which include from end to end, all the solution that the advertisers, the brands, and the publishers basically need, meaning the DSP -- the DMP, meaning the data elements and segments that they can create and also the SSP, which has enabled them to reach the right audiences is very important, not just for the clients on both sides, but also for us, of course, in order to keep healthy margins that will enable us to keep investing in technology and innovation. So, what we see lately after many, many years, of people basically saying that they like to specialize in the demand side or supply side, which, of course, we respect, we see now people that are basically moving and crossing the line and enabling their clients and publishers to do both like we do. The big advantage that we got is that we are doing it already for almost more than four years. And the second thing is that basically from what we saw in the market until now, most of the solutions that are being offered from the SSP solution are not fully functional DSPs like ours. So, I think that from a technology perspective, we have an advantage and from the fact that we are basically using this solution for so many years, already incorporated all the technologies altogether. I think that is bringing us a lot of advantages in the market. The next step that we've done is what you touched before. We added these tools of planning tools that are very important because better planning, better results, which is massive, especially this year that you want to get your money into play in a big manner. You want to plan well to get the best results out of your dollars, and we are enabling it as part of the horizontal integration that we offer. And the second thing, may I call it the gloop of everything is unique and exclusive data that we gained through the agreement with Lidar, which is giving us access to ACR data globally on exclusive basis for the next couple of years. And as we see, VIDAA is growing, it's becoming like a leader in CTV and smart TVs in the world, and it's giving us access to a lot of data that we are able to use in order to do targeting and measurement, which is really helpful for all this piece. So, I think that our ecosystem, the platform that we created is getting more recognition. The business model that we choose is getting more recognition from the market, from the players, from the peers, from the colleagues in this business. And I feel that as we -- as I said, we have advantage that we are doing it for four years. We have advantage that we have solid technologies across the board, and we have on top of that these tools that we just acquired through the Amobee acquisition and the data that we got from VIDAA through the investment and the partnership that we built with us.
Operator: And your next question comes from the line of Laura Martin from Needham. Your line is open.
Laura Martin : Hi, good morning, you guys. I've got a couple. So, let's just build on the last point about data over. I love the data deal. But my question to you is, how do you think about what data you use to make your ad products and add units more valuable? And then how do you think about selling your data to others in like a package so you have a data revenue stream? How do you balance those two uses of the exclusive data rights you have with Hisense and VIDAA?
Ofer Druker : Okay. So first of all, as we know, ACR data is one of the most effective data set in order to target users it's giving you another layer of knowledge, another layer of information about your potential audiences that you want to read. And the fact that we are -- the only basically open web partners that has an agreement like that is, of course, enabling us to do a lot, will enable us to do a lot in the coming years, meaning most of the other teams that are out there, most of the other smart TV, like LG and Samsung, of course, that are in the market are more like wall garden we are acting like more Open Web in this matter of data. So, it gives us, I think, like uniqueness and of course, the ability to do a lot of interesting things on our platform. The second thing -- the second question that you asked about utilizing the data on other platforms. We are able to do that. We will be able to do to provide the data in order to price measurements and even targeting, but we will tie it in some way to our platform, meaning if we are providing it to other DSPs, we will welcome them to basically buy media on our SSP or use our other tools in order to make it interesting also from us from a commercial perspective. And if we are offering measurement, of course, it's the same. But I think that what we are building here is an ecosystem that enable people to use the data, but also to engage with our platform. And I think that this is very meaningful in this essence because as I said, I think that our peers are doing an amazing job with ACR data, meaning Samsung and LG, and other people that are basically enable to use their data in order to target and measure and we want to join these capabilities and enable targeting and measurement also on our platforms.
Laura Martin : Okay. That's very helpful. I didn't realize it was going to tie back to your platform. And then I wanted to talk about cash usage. So, you have round numbers, $90 million of cash. You lost round numbers, around $8 million and you bought in a bunch of shares. My question is, why buy shares at a time when you're also losing money? Why not pour cash until you're sure that you're back to free cash flow positive?
Ofer Druker : First of all, Sagi, if you want to comment on that, but we stopped buying of [indiscernible] yes.
Sagi Niri: Yes, I will take that question. Thanks, Laura. First of all, we issued like $95 million of repurchase plan back in 2022. We concluded it through Q1. So, it's ended now, and we are not investing any money in repurchasing our shares anymore. And as you said, we are considering that going forward, but we will do so and we will be cash generative again very soon. And of course, if we will find some other users for the money, we will consider that as well. So, for now, it's ended, and we are keeping our cash -- and soon in Q2, we will be cash generated again.
Laura Martin : Thanks, so much guys. Thank you.
Operator: And your next question comes from the line of Mark Kelley from Stifel. Your line is open.
Mark Kelley: Great. Thank you, very much. Can you help us bridge the gap a little bit on the programmatic segment just a little bit more? How do we get from the 6% growth you just put up in Q1 to get to 38% growth for the full year? I guess you've got a tougher comp in Q4 given Amobee was baked in there. I guess any help in just in terms of how the programmatic line should play out would be helpful. Thank you.
Sagi Niri: Okay. Thanks, Mark. I'm not sure exactly what is the 38% you are referring to. What we said is that in Q1, our programmatic revenue went up by 6%. It was unfortunately offset by a programmatic -- by a performance decline. We are assuming that until the end of the year, around 90% of our revenues will be generated through programmatic activities, which we disclosed a long time ago that this is our main focus. This is where we are putting our main effort. That's the 38%. I'm not sure exactly what you are referring to.
Mark Kelley: Sorry, 31%, if I'm going to use your -- so $360 million for the year for programmatic on the net -- for net revenue, that would be like 31% growth. I misheard you, I thought it was 95% of net revenue would be programmatic.
Sagi Niri: Yes. So, 90% out of the $400 million, yes, $360 million will be programmatic, 90% exactly.
Mark Kelley: Then I guess, how do we get from 6% growth in Q1 to 31% for the year -- on the programmatic side?
Sagi Niri: Again, as we are our -- maintaining our guidance at $400 million of net revenue and $140 million to $145 million adjusted EBITDA, we are a company that uses a lot of economy of scale. So, we are expecting that the next quarters revenue generation will be much higher. And from that revenue generation, most of it will come through programmatic activities. So, this is the way we are reaching this gap of increasing our programmatic revenues to 90%.
Mark Kelley: Okay. Got it. And then just quickly, you talked about better visibility, and I know a lot of that comes from your conversations with advertisers and agencies. But I'm just curious about -- you've made some changes. You've got the linear planning tool in-house now. You've got the sales reorg you did. I guess, are there other changes that you made that are maybe also helping you gain more visibility than you had in the past?
Ofer Druker : I think that the Amobee programmatic cross-sales moving more activity into in-house, basically also when we are looking at connecting all their platforms altogether or the infrastructure of the sales, as we mentioned also in the PR and on the RNS that we issued was a very heavy lifting effort in order to connect the both sales teams, all the processes, procedures and to move all the activity to one platform. So, we feel that now we have a better understanding and a better control. The first thing. The second thing is, of course, after moving the attention of management from all this integration to growth now, and improvement that we feel in the market is giving us a better understanding of where we are standing and what we are going for. And we feel, as we say, in the PR that basically, we are going to eat our numbers that we mentioned that we gave to the market.
Mark Kelley: Okay. Thanks, very much.
Operator: And your next question comes from the line of Andrew Boone from JMP Securities. Your line is open.
Andrew Boone: Good morning, and thanks for taking my questions. I wanted to start just on the operating leverage that Sagi, you mentioned in your prepared remarks on the business. If I go back to pre-COVID, you guys were more or less in kind of the mid-30s in terms of EBITDA margins. That clearly accelerated through COVID and now we're probably troughing here. Can you just talk about maybe in a more normalized macro environment where we should expect EBITDA margins to kind of pencil out? Understood the business is bigger with Amobee. But how do we think about a more normalized kind of EBITDA margin environment as we get through this cycle?
Sagi Niri: Great question, Andrew. So, we have like 13% adjusted EBITDA margin in Q1. And of course, as you said, everything interim or in other companies, this economy of scale. So, we are anticipating adjusted EBITDA margin to increase dramatically through Q2 -- through Q4. And of course, it's supposed to reach in Q4, somewhere around the 50% adjusted EBITDA margin where we were in the past. Of course, we need to take in consideration that the new cost structure with Amobee is a little bit different, and we need to reach a level of revenue in order to get back that on a yearly basis. So, if I'm looking on our guidance, we are somewhere around the 35% adjusted EBITDA margin on a yearly basis. And if I need to go forward, probably in 2024, we can reach somewhere around the 40%. To go back on a yearly basis to 50% will take us more time. But at the end, we will get there. And of course, we are refining our cost structure all the time. We build the $65 million of efficiencies and synergies that we did with the acquisition of Amobee, which we already completed around 90%. And of course, on top of that, we are refining our cost structure all the time. So, these are the numbers.
Andrew Boone: And then I wanted to ask something that -- I guess, it's more of an industry question. As we think about ID offerings that are in the marketplace and as we think about Google deprecating cookies in the back half of next year, understood that doesn't relate to CTV and kind of video more broadly. But can you just talk about how you guys view cross-platform measurement. What ideas are you guys adopting? And how do you think about the measurement attribution side as you think about connecting users across platforms?
Ofer Druker : No problem. I will take this one, Sagi. So basically, we build a platform on our DMP that is enabled to use and connect to all the identity tools that are basically developing the market since the moment that Google announced that they are going to remove the cookie basically, and we are working very closely with all the market leaders on that front. So, I think that on that front, we from -- we are very advanced in our solution, and we are able to basically use and extend how we reach to all these providers and companies that develop solutions and so on. The second inherited advantage that we get is that we have a full end-to-end solution. So basically, we didn't -- less we can use our end-to-end solution in order to bypass the usage of cookies when we are running some of the campaigns. So, the effect of this move, if it will happen, will be a very minimal compared to the market. And that's basically how we build the platform and the setting of our technology which can enable us. So, if I -- to summarize, first of all, we built a platform that is integrated and working and consume all the data from all the leading platforms in the market. The second one is the end-to-end solution. which basically lowering the need in cookie because we are entering solution, and we are sitting on both sides.
Operator: And your next question comes from the line of Andrew Marok from Raymond James. Your line is open.
Andrew Marok : Thanks, for taking my question. On the Amobee cross-selling tool, you talked about getting traction with buyers that tend to be more on the linear side, but is there an education process or maybe like a longer "sales cycle that you have to embark on with these more traditional linear buyers that makes the ramp-up process longer for them as they start to get into CTV.
Ofer Druker : So, great question. I think that the -- first of all, there is an education process that we need to make to conduct, and we are already in this process for several months. The other issue is that this unit is not -- it's not coming in order to -- out of nowhere. I think that all the broadcasters, all the customers, all the companies that are basically dealing with what we call linear advertisers. They are already aware of the need to expand their campaigns into what we call streaming and CTV.  So, it's a need that is coming from both sides. It's coming from us trying to develop this solution, but also from the actual broadcasters and brands and other service providers that understand that they need the solution in order to provide better solutions and better service their clients. So I think that the process of educating the client, the providers, the companies, the broadcasters will be shorter than expected because we are not trying to basically deliver a new technology that is coming out of Norway, but it's coming out to cover a very rationale and existing needs of all these brands, agencies, broadcasters and other providers that understand that they need a tool that will enable them to extend into streaming and CTV and reduced duplication of exposure to the same user. So, I think that it's -- of course, it's need education, it's longer to work with these types of companies, which are broadcasters, which have longer cycles of initiating and getting into new technologies usually because of the heavy-duty platforms, and so on. It's taking a little bit longer than programmatic. But we feel that we are in the right points that people are looking for this solution. And the education is minimal. It's more about integration and about how to create mutual work processes in order to take this advantage of these tools.
Operator: And your next question comes from the line of Eric Martinuzzi from Lake Street. Your line is open.
Eric Martinuzzi : Yes. I know you didn't give direct guidance on Q2, but I wanted to dive into that. Right now, we've got a consensus number of $92.4 million on the contribution ex-TAC and an adjusted EBITDA number of $27.6 million, understanding that you expect to have sequentially in Q2, are those numbers realistic? Or are you trying to tell us that maybe given the macroeconomic conditions that we are going to be -- those would be more of a stretch?
Sagi Niri: Yes. So, as you said, we are not giving guidance or didn't give guidance to Q2. And yes, the analyst consensus is around $92 million in contribution ad tec. Again, it's an aggregation of different numbers that different analysts are assuming that we will achieve. I think that's what we said in the earnings call itself and answering the question, we are seeing good momentum. We are seeing some bounce back from advertisers and clients. And we think -- we assume that we will do much better numbers than we did in Q1.
Eric Martinuzzi : Okay. Well, let me ask it another way. The loading of the year, I think you've historically -- or at least for 2023, you talked about a 40%, 60%, are you stepping away from that front half, back half?
Sagi Niri: No, I think we are in the line of those numbers. I think that historically, it was somewhere between 55 to 60 and 40 to 45 between the different tasks. No, we are not stepping down from here. I think we took into consideration that Q1 will be a little bit lower because of the long integration and consolidation, mainly on the sales team. unifying our offering, unify the product, taking care of all the marketing materials, et cetera. So, I think we are in a good place. We managed to end this process and we are ready to work in more and we are seeing the first signs of the fruits of all of that hard work in the last six months.
Eric Martinuzzi : Okay. And then for on the branding effort, do we have any clarity? I know you don't have anything to announce today, but have we narrowed it down to whether it will be creation of a new brand or doubling down on one of the existing brands?
Ofer Druker : So, we are -- it's a nice question. We are going to announce the new brands until the end of the quarter. I think that it will help us in three levels. One of them is internally to create like more connection between all the teams that we feel that they are creating and part of something bigger that we created now.  The second thing, which is very important, of course, is to the market that it will be easier for the people to understand what we are offering and how we are offering that. And the third one is also, of course, to the financial markets to understand -- to better understand what we are doing and how we are basically connecting all these acquisitions and innovation that we created in the past few years.
Eric Martinuzzi : Okay. But then with that involve the creation of a new corporate entity, a new stock ticker.
Ofer Druker : It's too early to talk about it. And of course, when we will announce it, you will be, of course, you'll know.
Eric Martinuzzi : Okay. Thanks, for taking my question.
Operator: And there are no further questions at this time. I will now turn the call back over to CEO, Ofer Druker for some final closing remarks.
Ofer Druker: Thank you, everyone, for your questions. So, I think that your question basically covered all the points that I wanted to -- maybe to share and so on. And I think that what we see here is the growth of CTV in our activity across the board. We feel very solid about our solution, our position in the market. We feel very good about the things that we basically created and worked on in the past more than 1.5 years -- like more than 1.5 years like the agreement with VIDAA, the last acquisition of Amobee that basically enable us to integrate also this planning growth platform planning tool that we believe that will drive more activity to our CTV ecosystem, and we believe that the future is in the horizontal integration, end-to-end solution like we see that is coming also from our peers, and we feel recognition to our strategy that we launched in 2019.  So, we are very glad about that because usually, a lot of the questions were around why you choose, why you guys choose to where can to end, and how we see that all the industry or majority of the meaningful industries moving to this direction, which is giving us, of course, recognition to our strategy. And we feel that we have advantage around it because we already practice like that for several years, and our technology is set, is built, and is fully functional for all these capabilities around end-to-end solution and horizontal integration. So -- it was -- it's a challenging year from a lot of aspects of integration, macroeconomics, and so on. But as you can see, I think that we made a lot of achievements in the past few months, and we are really glad for all the actions that we've done and for the direction that we choose, and we feel excited for the future.  So, thank you very much, everyone.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.